Operator: Ladies and gentlemen, welcome to the 2016 First Quarter Commercial Results and Renault Group Revenues Conference Call. I now hand over to Thierry Huon. Sir, please go ahead.
Thierry Huon: Thank you. Welcome to Renault first quarter ‘16 conference call broadcast live and in replay versions on our website. The presentation file and press release for this call are all available on our website in the Finance section. I would like to point out the disclaimer on slide two of this pack regarding the information contained within this document and in particular about forward-looking statements. I invite all participants to read this. Today’s call is scheduled to last about 45 minutes. We have two speakers this evening, Thierry Koskas, EVP and Head of Sales and Marketing; and Dominique Thormann, EVP and CFO. The presentation will last about 20 minutes and will be followed by a Q&A session. If we don’t have the time to take everyone’s question in this session, the IR team will be around to take your calls later. Without further ado, I will pass the call over to Dominique for a few opening remarks.
Dominique Thormann: Thank you, Thierry, and good evening everybody. Before reviewing Q1 commercial results with Thierry Koskas in a minute I would like to highlight the key takeaways from the first quarter. Firstly, the European market was better than anticipated during the quarter under review. In light of this, our full year assumption made at the beginning of the year appears to be too cautious. As you have probably seen in our release, we have upgraded our full year market forecast for the region to at least plus 5% versus plus 2% previously. Secondly, our European business has been the major driver of growth in Q1. This results from the success of our new models in addition to the growing market. Thirdly, we are still facing very contrasted situations outside of Europe with high growth in some markets such as Iran and India with significant declines in others like Brazil, Russia and Algeria. Lastly, as I highlighted during the full year presentation last February, foreign exchange has turned to be strongly adverse in Q1. Given this overall context, we confirm our full-year guidance for 2016. Having made these preliminary remarks, I will now pass over the call to Thierry Koskas who will review our commercial performance in the quarter. Thierry?
Thierry Koskas: Thank you, Dominique. Good afternoon, everyone. I will first comment the TIV evolution. As Dominique said, we had stronger TIV in Europe, overall plus 8%. Outside Europe we have a mix situation with China, Korea and India with good orientation. However, we see that the market was down in Russia, in Brazil and in Algeria. Overall, the growth of the TIV in the world in the first quarter was 1.5%. I will now go the evolution of the Renault - the Group Renault sales in the world. TIV that grew by 1.5%, our sales grew by 7.3%. Very quickly before viewing the detail of every region, we grew overall the market in Europe by 8.9%. Sales were stable in Eurasia in spite of the drop of the market. We had sharp growth in Africa, Middle East and India 36%. In America, the sales grew, followed the market and in Asia Pacific we are in a transition quarter. Before the launch of new products due obviously to the increase of the European market, the share of Europe in our sales is now at 63%, 1 point above the first quarter of last year. Within the 10 plus markets of Renault in terms of sales in the world, six of them are in Europe, four of them are outside Europe and our market share is progressing in eight of them. Let’s see very quickly now the detail per region. In Europe, as we said, we progressed more than the market establishing market share of 9.8% for the first quarter. Our customer order book has increased from the beginning of the year by 12% and has reached an historical level that we are in 2011. In the next slide, we can see the results in Eurasia region where our market share progressed as well by 1.3 points, thanks to the good results we had in Russia and in Turkey as well. In the next page you can see our performance in Africa, Middle East and India where our market share is also progressing by 1.5 points mainly thanks to two countries, India and Iran. In India, we have taken so far 124,000 orders of KWID. In Algeria, as it was said, the market dropped sharply due to the importation restrictions. However, Renault is enjoying its local production in the Iran plant. In America, market share in the region is stable. However, we progressed in our three main markets, Brazil, Argentina and Colombia. In Brazil, we gained 0.1 point. The Duster Oroch that was launched at the end of last year is in line with expectation reaching the second position in the small double cab pickup segment. And finally, to enter these regions, in Asia Pacific region our market share is stable. We are in transition quarter as we will start to see from the month of April, the effect of two major launch that we have in the region. First of all, the Kadjar in China obviously the sales have started at the beginning - at the end, so in the month of March and second one is the Renault Samsung SM6 where we have already taken in two months over 20,000 customer orders. And finally to end up this presentation, just to highlight on our new models that were launched from mid last year, overall all the new models that we have launched are in line or above our plan. And one point to highlight is in terms of residual value. The performance of these models is better or much better than models that were replaced. Overall, the residual value of Renault models in Europe increased from January to end of March by 3.2 points versus 0.7 for the market. And that ends up the commercial presentation. And I know hand over to Dominique Thormann.
Dominique Thormann: Thank you, Thierry. I will start this part of the presentation with the variance analysis in first quarter revenues compared to last year on slide 16. As you can see, Group revenues were up significantly by 11.7% in the quarter from EUR9.388 billion a year-ago to EUR10.489 billion this year. The automotive division was the driver behind the strong performance with an increase of 12.6% in revenues. RCI revenues decreased 2.1% due to the fall in interest rates and despite an increase of 11.3% in the quarterly production of loans. But as you know, revenue is not an indicator of choice to gauge RCI's performance which I will detail later in my presentation. I will start the analysis with the review of the automotive division on the next slide, number 17. On this slide we show the contribution to the change in the automotive revenues for the first quarter broken down by item. Reading from the left-hand side of the slide, the first item is volume. Thierry just showed you that global registrations increased by 7.3% in the quarter. Due to a lower reduction in inventory at independent dealers, the last year during the same period wholesale invoices increased more than registrations. This led to a 10.2% positive volume increase. Next, the geographic mix is slightly positive driven by higher European sales. The product mix effect was also positive by 1.9% and confirm the trend seen at the end of last year, thanks to our recently launched models in the C and D segments. On the contrary, KWID sales impacted the product mix negatively. The price effect was positive by 2.7 points. This impact is still primarily the reflection of price increases decided to offset currency weakness in non-European countries. Sales to partners contributed positively by 2.7 points and reflect the good momentum of European business. The increase in CKD volumes as well as the continuing success of the Nissan Rogue manufactured in South Korea. The next item is foreign exchange which impacted negatively by 4.5 points. This strong headwind came from the weakness primarily of the Argentinean and Colombia peso, the Brazilian real and Russian ruble. The last item, others, represents the activities outside the new car business, mainly spare parts, non-new car sales as well as restatements related to buyback commitments, which shows a negative contribution of 1.3 points mainly related to buyback commitments. If you turn to slide 18 you will see the usual seasonal Q1 effect with an increase of inventories that reached 575,000 units versus 465,000 at the end of last year. Year-on-year inventories are up 60,000 units to keep up with market demand. In terms of the number of days on hand, we stood at 76 days versus 74 days a year ago, and we're comfortable with this level and appropriately stocked for Q2. I will now move on to slide 19 and comment RCI’s commercial performance. The number of new contracts written by RCI Banque in the first quarter of 2016 increased by 10.2% versus the same period in 2015, thanks to strong sales momentum in Europe. New financings increased slightly faster than the number of new contracts at plus 11.3% to EUR4.1 billion. Before moving on to the Q&A session, I will turn to the last slide, number 20, which shows you our outlook for 2016. As I mentioned in my preliminary remarks, the market in Europe is improving, but conversely some of our main markets outside of Europe continue to decline severely. Given this overall context, we confirm our guidance for the full year 2016. This concludes our presentation and now together with Thierry, we are ready to take your questions. I will hand the call back to the conference operator and thank you for your attention.
Operator: [Operator Instructions] The first question is from Thomas Besson, Kepler Cheuvreux.
Thomas Besson: Hi, it’s Thomas Besson for Kepler Cheuvreux. I have two questions please. Firstly, on the inventories, it increased quite meaningfully, but you talked about having appropriate level of inventories. Should we expect even strong growth in your registrations in the second quarter? Did you have really too low level of stocks last year? And secondly, can you update us on the Chinese side of your story, and what we should expect in terms of ramp up during the year Q2, Q3 and what’s your expectation for the full year in terms of volumes?
Dominique Thormann: Okay. Hi, Thomas, it’s Dominique. On your first question - I'll let Thierry handle the China sales question. But on your first question on stock, yes, if you remember at the end of last year, we were parked very low, we were somewhere in the 50 - we’re below 60 days somewhere around 56. And I told you - actually, I am sorry 53 days, apologize, and I told you that that was a bit - that was really too low. Given the pace of the first quarter sales in Europe, we have been running our production at higher levels and it’s also related to the fact that we’re in the middle of the launch of some very high volume cars in high volume segments and particularly Megane is in its launch phase. All of the other vehicles that Thierry Koskas mentioned in his presentation are also running at or above plan, which means that on a run rate, if I look forward into the quarter - into the second quarter, we're somewhere around 60 days, which is very much in balance where we try to manage overall stock levels too. We're also ramping up Kwid in India. This is also a very high volume - there is very high volume impact. Thierry told you we have taken in over 100,000, actually over 120,000 orders. So this is mainly an issue of how fast we can deliver those units. So if you look at it, Q2 is - the order bank is very high as Thierry showed you. So, yes, we are going into the second quarter with a high order book, high volume segment renewals, particularly Megane in Europe and Kwid in India. And we are expecting as we’ve confirmed our guidance that we are on the path to meeting our objectives. Now, specifically on China, and the sales base in China why don’t I hand over to Thierry.
Thierry Koskas: Yes, thank you Dominique. So just to be precise that we launched the Kadjar at the end of last month. It has generated a lot of interest. We are starting the sales process. So far we have taken above 2,000 orders and we are also in a process of having our network grow as well in China. Thanks to the launch of this new model. So it’s obviously very early days, but the start is in line with what we expected. Q Thank you very much to both of you.
Operator: The next question is from Charles Winston, Redburn Partners.
Charles Winston: Yes, hi. Charles from Redburn. Just two issues for me. First one, just in terms of FX, obviously during the quarter, we saw quite a lot of volatility and since then we know the ruble and the Brazilian real have strengthened quite a lot. Would it be fair to say that the impact of FX in the full year is slightly to be less than the 4.5% that we saw in the first quarter? And attached to that, would it still be right to use a roughly 35% drop through in terms of the impact of FX from revenue to profit, which I think is the figure you have given in the past. And second question is just in terms of sales to partners. Can you remind me the timing of the next contract, I think that certainly Nissan Micra, there is a contract there on sales to partners. I think also you have a contract to make LCVs to Fiat at some point coming up. Can you remind me the phasing and the cadence there? Thank you.
Dominique Thormann: Hi, Charles. Thanks for your two questions. So foreign exchange is the - my quarterly crystal ball question. It’s - let me try to - and plus, this is a revenue call, this is not an earning - I mean, this is not a profit call. So let me try to give you a little bit of guidance. If you look at revenues and sequentially, you’re right. Some of the currencies as the year goes on if they were at today's rates would not be materially different than they were last year, for example, the ruble. And you'll probably see sequentially some improvement in Brazilian real. However, there are some currencies which started to move very adversely to us in the month of March, which I didn't call out in the ones that I listed, because it was only really one month, but it's where Europe living and that’s sterling. So depending on what happens with sterling, which is probably our biggest flow currency in terms of we don't have an offsetting cost base in the U.K. as much as we do in other countries that have, for example manufacturing. In Argentina, we have a domestic manufacturing base, in Russia, even in Algeria. So it's a very contrasted situation If I were to give you guidance strictly on top line, I would basically take this quarter and just multiply by four and that does not mean that the drop through now is going to be exactly in line with what we had in the past. If the pound the really moves adversely that’s the one where the sensitivity to a 1% change in the value of sterling as the highest, approximately EUR17 million in our books. If you take the other currencies then they're much, much less because we have an offsetting cost base. So the top line just for guidance and just for modeling purposes, take this quarter and just straight line four quarters at the same pace, that's with - once again, this not a prediction of where currencies are going, it’s just answering your question as to if I take today’s rates, and kind of what we've seen in the last few weeks, what does this mean going forward. Now, sales to partners, you’re right. If you remember, I told you at the close of last year that in the first three quarters, you’re going to see a little bit of a plateau and a leveling off on a variance basis compared to previous year. Sales remained good off the Nissan products as well as products supplied to Daimler, but also vans for GM, Opel and the Volkswagen brands. But on a variance basis, you’re right, there is going to be a Fiat product coming in, which is a light commercial vehicle and later in the year, the Nissan Micra, which is a passenger car. So the Fiat product is a small volume, I mean, this is a van, so this one comes in and the impact will be felt mostly in Q3. And then you have to wait until Q4 to get the Nissan Micra and the Nissan Micra is a much higher volume car, we're talking here somewhere about 10,000 to 11,000 units a month. So this is Q4. All other things being equal, partner sales on a variance basis will pick up clearly in 2017 compared to 2016. So I hope I was clear on that.
Operator: Thank you. The next question is from Horst Schneider, HSBC.
Horst Schneider: Good evening. It’s Horst from HSBC, thanks for taking my question. It’s mainly on FX again and on pricing, I mean, if you see this FX impact, what is in the logical assumption for pricing so in other words I want to say to which extent are you able to pass on these FX movements now to customers and maybe you can provide more detailed update by region. And in that context also within that price component what is the impact from Europe in other words what are you seeing in terms of pricing in Europe and then more of the European volume outlook again, you say Europe up at least 5%. I mean some other car makers have set already Q2 should be as strong as Q1, would you confirm that? Thank you.
Dominique Thormann: Hi Host, it’s Dominique, so let me share with my colleague Thierry here on pricing and on the European sales pace. On foreign exchange, you are right some of the - most of the impact in Q1 results from decisions taken in the past to offset currencies particularly in South America but also in Russia. Now sequentially when currencies devalue the impact is immediate but when you decide to price to offset that clearly the impact is diluted and it takes time for that to flow through until the units actually get sold. So typically, you look at - depending on how localized we are and how much local content there is, we’ll try to offset and in countries such as Russia and Argentina the offset has been actually quite good approximately 70%. In Brazil, it’s been more difficult and the guidance I could give you there is more around 30%. So in general you're able to do some offset in pricing but clearly you run into issues of elasticity in domestic market depending on how well the country is localized or not. Now I'll hand over to Thierry on pricing in Europe and if you want to say something about Argentina, Thierry used to run Argentina for us, so he will know more about it than I did.
Thierry Koskas: Absolutely, we had some - we are rather used to take into account if I may say the devaluation into our pricing policy. But in Europe just to be precise that obviously with the launch of new models we take this opportunity to improve our price positioning. We already did it last year compared to the basket of competitors, we also for this year, 2016 a roadmap to improve gradually our price positioning in all European countries. I don't have any details to give at the end of the first quarter because it requires detailed analysis of the competitors and so on but we are in line in our pricing policy with this roadmap which will enable us to improve again gradually our price positioning in Europe thanks to the new models.
Horst Schneider: And in UK, you are able to pass on the negative FX as well or just to a limited extent?
Dominique Thormann: Horst the negative FX impact in the UK is very, very sudden and very recent. So this something that would be under review but not in Q1, no.
Horst Schneider: And volumes in Europe, Q2?
Dominique Thormann: Production volumes or sales volumes?
Horst Schneider: No I asked if Q2 can be as strong as Q1 as some other car makers set already.
Dominique Thormann: Oh, you mean total industry?
Horst Schneider: Yeah, total industry correct.
Thierry Koskas: What we are - what you’re saying is total industry; we are viewing at least 5% throughout the year. For the first quarter it was plus 8% but with two very months January and February that we are above 10% and then the growth slightly slowed down in month of March now we are the volumes are up by almost 6% so we are now looking at growth rate which will be around 5% every quarter.
Operator: Thank you. Next question is from Fraser Hill, Bank of America Merrill Lynch.
Fraser Hill: Three questions from me. First one, Dominique you talk a little bit about the wholesale versus retail dynamic for the rest of the year or at least maybe into the second quarter where you got some visibility, you’re saying you are comfortable with inventories but you got that order book that looks very high, so are you still going to need to I guess sort of over produce, will you have a better wholesale number versus the registrations we are going to see at least in the second quarter if you could comment there. Second question on FX just sort of asking the other way around, so it's [indiscernible] if you look at the price that you delivered in the quarter which was 2.7%, how much of that was underlying or genuine to the price delivery or how much of it was just offsetting FX? And then finally on your orders, you’ve obviously got a sort of fairly high level of inventory in historical standards. I mean, I know as a day of sale it looks comfortable relative to Q1 norms but is your order book at an all-time high globally in the same way that it is in Europe? I think just really looking at that order book on slide nine I just wondered if you could sort of comment at least on your global order book, is that in the same situation on a total global picture as well?
Dominique Thormann: Hi Fraser, okay so on wholesale I would expect I mean Q2 is there are some seasonal patterns during the spring selling season at least in the northern hemisphere so I would expect production volumes to be higher than Q1 despite the - once again the level of start that we have going into the quarter. This is kind of normal for us as we - as I've said in the past and I don't really see an imbalance between the level of wholesale and retail that we expect in the quarter. Now some of it is distorted by, if you're looking strictly at Europe, you're much closer production to deliveries to registrations have a much shorter car flow than if you're producing for more distant markets and depending once again on the level of localization you couldn’t be in a very long supply chain for example in Algeria, or in some of the South American countries. So depending on where it is, I think globally if we look around the world our levels of stock versus order intake car flow and what we're seeing in terms of our own launching sequence, so right now as I said we are in a launch phase of Megane, I mean some countries don't even have it yet and it's just the units are literally being delivered. The UK as an example, so you’re going to have very high production of right-hand drive vehicles which haven't yet been delivered. So I don't really see anything particularly out of balance, if I look on a forward-looking basis from we’re parked at the end of March into Q2, I’m seeing around 60 days. So it's nothing very different than the numbers that we typically managed to. Now on price, the effect that I showed you, the majority of the price effect as I said in my remarks are related to offsetting the decisions that were made in countries that either have high inflation, don't forget the countries like Argentina or Brazil or Russia when you're talking 10%, 12%, 20% inflation - underlying inflation and on top of that you have currency devaluations, we've done a number of - we’ve taken a number of actions to offset that. Now, as I said before when currencies devalue the impact is immediate. However, when you price the impact is diluted over time because you have to sell the units, right. So if you have them in stock, they’re going to end up in your - they won’t show in your topline until you’ve actually restocked with fresh product coming in at a higher price point. So, I think the pricing discussion at least in Q1 is mainly related to that effect. Your third question, I will hand over to Thierry.
Thierry Koskas: Yes, thank you Dominique. So we don't have outside of Europe direct reading of the customer or their bond because it doesn't go through the same system. However, what we can surely say is that there are two phenomenon that we have this year and that we are denoted last year. The first one is KWID. KWID as I said we have taken 120,000 orders, we have so far delivered 40,000 cars to customers. So we have another book of 80,000 units. And in Korea, the launch of SM6 represent also 20,000 cars of which a very few have been handed over so far. So we have probably would have outside of Europe global order book which would be in the region of 100,000 more than last year.
Operator: Thank you. The next question is from Jose Asumendi, JPMorgan.
Jose Asumendi: Thanks so much. Just a couple of items, please. The first one just to confirm that, I mean I hear from most car makers in the UK, they are not able to increase prices, [indiscernible] basically, just wanted to confirm that you’re also on the same kind that you’re not increasing prices so far? The second element for Thierry, can you talk a little bit about the three items. One, how successful are you passing on price increases or maybe pricing of the incremental content you’re putting on the new product launches. Second, if you go to comment on Dacia and the additional complaints you’re hearing from dealers, maybe it’s not such a big deal for the overall Renault group, but just a bit of more background, why they need to give additional complains for Dacia. And the third item, just to take the chance to ask the question, I would wonder why you run higher self-registrations in Germany versus peers? I think it’s an opportunity for you going forward, maybe there is a structural reason for it. So I’d love to hear also any thoughts on that? Thank you.
Dominique Thormann: Can you repeat your question on Dacia? I’m not sure that I understood what it is you’re asking for.
Jose Asumendi: Just simply asking that when we talk to dealers, it seems to us that you used to get very low level of incentives, but two years ago, 16 months ago, when we now talk to dealers, we’re starting to see them saying that they are giving additional complaints in terms of vehicles, is there a structural reason for that or just simply nothing there in the market?
Dominique Thormann: Okay. So Thierry will take that question. Most of your questions are on his side of the business. So why don’t I hand over to him?
Thierry Koskas: Yes. No. Thank you very much. On your question regarding passing the content on the new vehicles, I think the best illustration probably is when we change from one model to another, Megane is a good example, the price of the new Megane compared to the previous one, we do see a lot of additional content and so on is depending on the country, between 10 to 13 point above the previous Megane. It has been well received by the market as the residual values are usually increasing in the same order of magnitude. So just concrete example, which illustrates that we tried to pass as much as we can the contents to the market. The question regarding Dacia, regarding Dacia for - since we launched Dacia in Europe, we haven’t changed whatsoever the business model that we have, which consists as you well know in very limited cost of distribution and marketing expertise. So, there is no change at all on that. You might see - you might have seen for example in France, some advertising complaints and so on, but this happens from time to time and the promotional policy on Dacia is not 0, but I still confirm that we haven’t made any change in the Dacia business model whatsoever in any country in Europe. Regarding self-registrations in Germany, I don’t have any detailed figures. So we’ll have to come back to you.
Dominique Thormann: Jose, maybe just one follow-up from me, just to remind you that as part of our plan, we had told you that we were and this was by design and part of our growth plan that we were going to reinvest part of our cost savings into the attractiveness of our vehicles. So the content increase in our vehicles is deliberate. We did this to reposition a number of cars in segments where we were not competitive from a content point of view. So if you’re saying that our vehicle content, feature content, this is non-regulatory, feature content is increasing, that’s normal and it’s what we wanted. And as Thierry said, we’re getting rewarded for that, at least the first indications I’m seeing in residual values going up. And somehow, that suggests to me that we’re pricing for value. So that was just a little bit of a complementary, I mean a further follow-up comment on Thierry’s response.
Jose Asumendi: Very useful. And you’re not increasing prices in the UK as we stand right now in line with the other car makers?
Dominique Thormann: No. I said before, if the question is, are you increasing prices in the UK to offset the currency, the answer is no. That happened just, once again, we’re just seeing that now. But no, there is no particular pricing action right now.
Operator: Thank you. The next question is from Victoria Greer, Morgan Stanley.
Victoria Greer: Good evening. Just one question on the Megane please and you mentioned that it’s not delivered in all markets there, could you talk a bit about the run rate, because I guess for the new launch, starting those units in the quarter feels a bit late, can you talk about the phasing of the launch there.
Dominique Thormann: It’s very, very early days as I said. I mean on the production side, it is ramping up as per plan. So there is nothing, it’s mostly the supply chain side that’s busy making them. And the rest of the deliveries, Thierry will tell you, but it’s mostly going to be spread out over the coming quarter where you’ll get all the different body types that aren’t even out there yet.
Thierry Koskas: Yes. Absolutely. We have started at the beginning of the year in France, but really we just started the sales in key countries like Germany and Spain. So it’s very, very early days and we have not started in the UK, which is also a key market for this vehicle and that should do start at the end of the first semester.
Thierry Huon: I guess we have time for one last question.
Operator: Thank you. The final question is from Gaetan Toulemonde, Deutsche Bank.
Gaetan Toulemonde: Yeah. Good evening. It’s Gaetan speaking. Dominique, unfortunately or fortunately, I have no question this time. I just wanted to thank you for the relationship we have built together for the last 25 years. I would not forget when you started to pass the slide during the slide show of Mr. Schweitzer approximately 25 years ago and you became CFO of the company. So I think a lot of IRs in this industry are probably dreaming about doing what you’ve done during the period. So definitely thank you very much, thank you very much for the relationship you have built with us and we wish you very good luck for the future and I’m sure we’re going to all stay in contact with you. So, thank you very much.
Dominique Thormann: Gaetan, thank you. I’m very moved by what you’ve - by your kind words. Thank you to you. It’s true, I’ve gone through a few adventures with this company. Thank you to all of you for the patience in listening to me every quarter, but I would like you to take away at least from my experience as CFO that these types of sessions and the more closer one-on-ones and group sessions and all of the visits that we’ve had over the years are particularly, not only useful, but they’re very enlightening to the way that management makes decisions and how we ultimately tried to steer the company to deliver more value to our shareholders, which ultimately is what IR is about, but it’s also I think what a CFO’s mission is about. So I’m particularly attached to the input that you’ve all provided over the years, your very insightful knowledge and particularly precise questions that really make us walk away from these meetings thinking how we can improve our explanations, but also more fundamentally how we can improve our overall competitiveness in the market. So thank you very much. Yes, this is my last call. I will be leaving and handing over my executive duties to Clotilde Delbos on Monday and she is with me - with us tonight. So I would like to introduce her and ask you to be as kind to her as you’ve been to me and wish her all the best in this part of her new job. Thank you very much to all of you.
Clotilde Delbos: Thank you, Dominique. Good evening, everyone. As mentioned, Clotilde Delbos speaking. I will indeed replace Dominique as CFO of Renault this coming Monday. And as just mentioned a few minutes ago, I think IR has always been an important part of Dominique’s agenda as CFO of Renault and this will not change. I’m committed to work with you as Dominique did. Just give me a few weeks to settle down before I can meet you and anyway, I will talk to you on our next call for the first half results on July 28 and in the meantime, I’m delighted to meet some of you if time permits.
Thierry Koskas: Okay. Thank you, Dominique. Thank you, Clotilde. This closes this call and of course the IR team remains available if you have additional questions. Have a good evening. Bye.
Operator: Ladies and gentlemen, this concludes the conference call. Thank you all for your participation. You may now disconnect.